Operator: Hello and welcome to today's Cyxtera Second Quarter 2022 Earnings Call. My name is Bailey, and I will be the operator for today's call. Later on, you will have the opportunity to ask a question. [Operator Instructions] I will now hand over to our host, Kwang Edeker, Senior Director of Finance. Please go ahead.
Kwang Edeker: Thank you, Bailey. Good morning and welcome to our second quarter 2022 earnings conference call. On today's call, we will refer to materials available on our Investor Relations Web site at ir.cyxtera.com. We are joined here today by Nelson Fonseca, President and CEO; and Carlos Sagasta, our CFO. After prepared remarks, we'll open up the lines for Q&A. Before we begin, I would like to remind you that today's earnings materials contain forward-looking statements, including statements regarding our future expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the Safe Harbor language on Slide two of our presentation, and our SEC filings for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information. With that, I'll turn the call over to Nelson.
Nelson Fonseca: Thank you, Kwang. Good morning, and thank you for joining us for our second quarter earnings call. We are pleased to report continued momentum for Cyxtera in the second quarter as we delivered solid results and finished the first-half of the year with strong demand for our full suite of infrastructure solutions. In addition, less than two weeks ago, we celebrated the one-year anniversary of becoming a public company. As we approach the anniversary, Cyxtera was added to the Russell 2000 Index, which served as yet another proof point that our team's ability to execute our plan is delivering strong growth. These are significant milestones for Cyxtera, and I want to thank all of our team members across the globe for their hard work and focus during this complex period. The second quarter represented the best net bookings quarter in our company's history, which further validates our strategy focused on developing and delivering leading edge infrastructure solutions from our Global Data Center platform. Core bookings came in at over $28 million, an increase of $2.5 million or 10% quarter-over-quarter, with core churn dropping down to 0.7%, an improvement of 30 basis points over the previous quarter, and 20 basis points year-over-year. We are ahead of our sales expectations at the midpoint of the year, and we enter the second-half of the year with a strong pipeline of opportunities and a favorable pricing environment as a result of the robust demand from enterprise and service provider customers. This strong go-to-market momentum is also reflected in other key indicators across the business. Our stable occupancy is now over 74% as we continue to drive customer deployments in our existing data center footprint, a key component to our growth strategy. This increased occupancy is coming with pricing and revenue per cabinet that is stable to up in most markets. All of these metrics reinforce the strength of our differentiated strategy to provide easy to consumer cloud-like colocation on a global scale to meet the needs of the modern digital enterprise. Our results from the second quarter also point to the continued positive momentum from investments in our channel program. Annualized channel bookings in the quarter increased by $1.4 million or 23% year-over-year, to $7.5 million. The channel produced about a quarter of the total bookings, and highlights the significant progress we've made in this area. Our successful sales efforts are delivering strong revenue performance for the company. Total revenue increased by $8.7 million or 4.9% year-over-year in the second quarter, core revenue increased by $9.4 million or 5.9% year-over-year, transaction-adjusted EBITDA in the quarter decreased by $2.3 million or a negative 3.8% year-over-year, but increased by $1.4 million or 3.4% quarter-over-quarter. As we look at EBITDA performance, keep in mind that second quarter 2021 was Cyxtera's last quarter as a private company, so we have successfully absorbed significant public company cost. While the fundamentals of our business continue to show strength, we do expect to experience some impacts from the macroeconomic trends that are affecting providers across the industry for the remainder of 2022. The increase in utilities costs we have experienced during the first-half of the year is expected to accelerate during the second-half of the year. Although we have established a cost recovery process that successfully pass through over 90% of the increased cost to our customers, there is an approximate 90-day lag for this process, therefore continued increases in utilities costs in the second-half of 2022 cannot be completely recovered in this fiscal year. The completion of our Northern California data center has been delayed due to a combination of local regulatory and supply chain challenges. The data center is still scheduled to be completed in 2022, but the delay will impact second-half 2022 performance. And FX will negatively impact second-half 2022 performance if it remains at current rates. Although we can't fully quantify the exact impact of these items at the moment, we believe that our full-year EBITDA performance will now be in the low range of our initial 2022 EBITDA guidance. As a result, we are modifying 2022 EBITDA guidance to $232 million to $242 million, representing a lowering of the midpoint by 2.9%. Revenue and CapEx guidance remain unchanged due to our continued go-to-market momentum. Although the lowering of the EBITDA guidance range is disappointing, we are energized by the strong performance of the base business, and recognize that these challenges are mostly timing in nature. Second-half 2022 utilities costs increases that are not recovered in this fiscal year are expected to be recovered at a plus-90% attainment in 2023. The Northern California data center is expected to deliver full revenue and EBITDA impact in 2023. We remain committed to the long-term success of Cyxtera, and are confident that our current trajectory positions us well to achieve our long-term objectives. Now, let me pass it on to Carlos for some additional detail on the results.
Carlos Sagasta: Thank you, Nelson. Good morning, everyone, and thank you for joining us for our second quarter 2022 earnings call. We're pleased to report another quarter of solid financial performance, driven by strong enterprise demand, our second quarter and year-to-date financial and operating metrics are a testament to the success of our go-to-market strategy and the trust that our customers have in Cyxtera. The fundamentals of our business remain as strong as ever, as reflected in a healthy pipeline, stable pricing, and low churn. Moreover, we closed the quarter with record net bookings, the best in our history. We're confident this momentum will drive revenue growth and higher occupancy rates for the remainder of this year, and into next year. Before dialing into our financials, I wanted to take a moment to note that, like our peers, we're not immune to the challenging macroeconomic headwinds impacting our sector and the broader economy. Although we have been able to compensate for these challenges in the first-half of the year and we're confident that the underlying health of the business is unaffected, we're being prudent with our guidance as energy prices and FX remain extremely volatile and supply chain constraints persist. I will speak to this impacts or the impact of each one of these variable on our outlook shortly. Going a little deeper into our financials now, turning to slide nine, total revenue for the quarter increased by $8.7 million or 4.9% year-over-year to $184.1 million, while recurring revenue increased by $6.9 million or 4.1% year-over-year, to $174.2 million, driven by strong overall demand. This strong momentum continues to validate our strategy to provide easy-to-consume cloud-like collocation on a global scale to meet the needs of the modern digital enterprise. To that end, Q2 interconnection revenue increased by 1.2% year-over-year excluding Lumen revenue. Core revenue, as shown on slide 10, which excludes Lumen revenue, increased by $9.4 million, or 5.9% year-over-year to $168.8 million. Gross margin was 46.5%. A year-over-year increase of 99 basis points primarily attributable to increased revenue, more efficient installation costs, some lower expense related to timing differences and less rate expense. All of which were partly offset by higher utility costs and FX. Energy costs continue to be a key focus for Cyxtera as they are for the other players in our industry. Slide 13 indicates the year-over-year percentage increases in power cost for each cost of this year. We expect power cost to peak at the end of Q3 and then moderate. For the full-year, we anticipate power cost to increase 17% compared to the previous year with the majority of this cost coming or being back-loaded in the year. As we have discussed in previous quarters, we have the contractual flexibility to passthrough increases in power costs. But we consider this approach very carefully because we understand that this is a real impact to our customers. While we have been thoughtful in how we communicate these rate increases, we intend to exercise this option. As Nelson noted, there was a temporary timing lag between the cost and revenue materialization which is roughly 90 days. We expect to recover approximately 90% of the cost -- of the power cost on a run rate basis. As we expect power cost to keep rising in the second half; however, we will be not be able to recover this incremental cost in Q4 until the first half of next year. Transaction adjusted EBITDA decreased by $2.3 million or 3.8% year-over-year to $60 million, principally due to increases in SG&A cost. As you are aware, 2022 includes public company cost that we did not incur in the second quarter of 2021. Adjusted for this public company costs, our transacted adjusted EBITDA would have been approximately $62 million. Starting with the first quarter, our year-over-year comparisons will include this public company cost for both time periods. The majority of our SG&A increase in Q2 is related to onetime non-recurring expenses and equity based compensation. Transaction adjusted EBITDA margin of 32.6% declined by approximately 295 basis points year-over-year. Adjusted for the public company cost, transaction adjusted EBITDA margin would have been 33.7. Transaction adjusted EBITDA decreased by $2.8 million or 3.7% year-over-year to $74.8 million which equates to a margin of 40.6%. As a reminder, we view transaction adjusted EBITDA as the best metric for comparing our performance to our peers because it adjusts for our asset ownership structure. Average monthly core churn of 0.7% for the second quarter improved by approximately 20 basis points compared to the same period last year and was well within our expected range. Our net bookings represented the best quarter to date in the company's history as stabilized occupancy rate increased 580 basis points year-over-year to 74.2% driven by strong industry demand and Cyxtera's differentiated offer. Core MRR, including FX, increased by $2.2 million to $50.8 million primarily driven by net installations. Year-to-date our MRR per cabinet increased 2% as contracted ramps started to flow through the calculation. On slide 18, we have provided a breakdown of our capital investments. Overall CapEx is up on the back of our higher expansion activity around key markets and normalized maintenance CapEx levels versus Q2 in 2021, which was lower number due to timing of project execution. Now turning to slide 19 for an update on the balance sheet and capital markets activity, we continue to make good progress on the deleveraging journey. During Q2, our financial net leverage was 3.8 times, a decrease from 5.6 times at the end of Q2 2021. On a lease-adjusted basis, our financial net leverage was 6.3 times which is 1.2 times lower in the same quarter last year. As it relates to our capital structure and future financing opportunities, we believe we still have sufficient runway ahead of us with our term loan maturing in 2024. That said, we continue to evaluate all financial alternatives to support our business model and growth plans. While we are not under any pressure to address financial needs in the near-term, it has always been our philosophy to get ahead of these items in a thoughtful and timely manner; hence we intend to be strategy in how we address our near-term liabilities. I would like to provide an update on our full-year guidance for transaction adjusted EBITDA. As Nelson said, we're now expecting transaction adjusted EBITDA for the full-year to be in the range of $232 million to $242 million. This revised guidance is primarily due to the macro issues I highlighted earlier, which we view as mostly timing-related rather than indicative on the underlying health of the business. As I mentioned, we intend to pass on the increase in power cost to our customers, albeit, there is a timing lag associated with the approach. As for the FX impact, although we're naturally hedged by reinvesting our British pound and Canadian dollars into those markets, the translation and impact is still there as we report in U.S. dollars. To provide some context, approximately 21% of our revenue is non-dollar denominated. We have the British pound representing about 10%; Singapore dollar, 5%; Canadian dollar, 4%; and the remainder being euro-denominated. We estimate the full-year impact of FX on transaction adjusted EBITDA to be approximately $2 million. Finally, we are experiencing some implementation delays due to supply chain pressures, with our Northern California data center being the biggest impact, which will also impact our full-year transaction adjusted EBITDA. While these delays do not reduce the total contractual revenue received, they do impact the timing of revenue recognition. As for revenue and CapEx guidance, we're reiterating our previous guidance for full-year, which you can find on slide 20 in our earnings release. In summary, our second quarter results were driven by strong underlying demand and crisp execution. Moreover, we expect this momentum to continue as we have seen on slowdown in demand or deterioration in the business fundamentals. While we are facing some challenging macro headwinds in the near-term, we believe we have taken adequate measures to navigate them without impacting our long-term trajectory. With that, thank you all for your continued support and for joining us today to discuss our second quarter results. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Michael Rollins from Citi. Please go ahead. Your line is now open.
Michael Rollins: Thanks and good morning. Couple questions, first on the guidance itself. If you were to unpack the revenue guidance, how are you thinking about the organic impacts relative to the FX, and would guidance be improving if it wasn't for FX or are there some other factors that we should be thinking through in the current update? And then, secondly, as you consider the business plan that Cyxtera originally outlined and the progression of revenue relative to utilization, how is that trending? And is there any notable observations where you could get more revenue for the utilization that you are anticipating over time or less or similar? Thanks.
Nelson Fonseca: Hey, Mike, thanks for joining us, and thanks for the questions. Let me take the second one first then I'll pass it on to Carlos for the FX. I think from a revenue perspective, that the occupancy, we're very pleased on where we are, right. And that's all driven by net bookings, pricing is stable to up, revenue per cabinet is stable to up. And so, that's what's driving and will drive the revenue growth along with the occupancy growth. So, we're pleased with that trajectory. From an FX perspective, Carlos, you may want to -- 
Carlos Sagasta: Yes, so, Mike, I think there's more than just FX on the revenue impact. As I think Nelson mentioned and I also reiterated, this delay in Northern California means that a significant piece of digital capacity won't come online this year, will come online next year. And so, that's also an impact on revenue. Now, we've overperformed up until this quarter from a revenue perspective, and that's why keeping guidance where it was originally. But you can't just blame FX for the drag on that number.
Nelson Fonseca: And the other thing I'll mention, Mike, just to add color, because we may get this question later, we don't do a lot of new builds compared to some of the competitors, so we're so much muted from the supply chain in this particular instance with this data center where we are experiencing it, and it's something that, again, is timing in nature.
Michael Rollins: Thanks very much.
Operator: Thank you. The next question today comes from the line of Sami Badri from Credit Suisse. Please go ahead. Your line is now open.
Sami Badri: Thank you. So, one thing, as I look at the way you guys are explaining this power cost-type impact to your full-year guidance, you guys have kind of explained it and showed it in a little bit of a different way than we saw compared to your peers. Could you guys kind of give us an idea if this is Cyxtera's specific way of impact that's manifesting itself into your numbers or is this industry standard that's impacting your numbers, just so we have a better idea on how to interpret what's going on in the underlying business?
Nelson Fonseca: Look, Sami, tough to talk about the rest of the industry and how our peers view it. From our perspective, I will say the retail model in an all-in power model versus maybe metered power model, the majority of our power is all-in, and so our -- it takes, as we -- as our power cost increases we go through the process of passing on that power cost to our customers. And so, what we're describing -- and we're giving it -- and I think in a good level of detail to give visibility on what we're doing with it and why it's really timing in nature, and we're not concerned that it's a fundamental impact to the business. Metered power customers, as their rates go up, just pay those metered power rates. We are primarily in an all-in power approach with our customers. Hopefully that helps. Carlos, anything you want to add?
Carlos Sagasta: The only thing I want to add is that I think the reason why we presented it the way we presented it is because we wanted to highlight two things that when we have been addressing this problem were salient points for us and for our shareholders. The first one being that we're talking about unprecedented quarterly movements in the cost base, and I think that's something that we -- I think we all know it, but we wanted to reemphasize that, contrary to historical averages of 2%-3%, we're looking at 12% or more in any given quarter. And so that's one salient difference. The other one is that it's timing related, because I think we've said it as we can recovery plus-90% of those costs, but there is a time lag. And so, what we wanted to emphasize is the fundamentals of the business are not affected, it's a timing difference, and that that's why we presented it the way we did.
Nelson Fonseca: And also why we're so pleased with the churn number, right, because we see that this is not impacting -- this is, effectively, a price increase to customers, but we're still seeing customers value what we provide them, and we're not seeing it in the churn number. So, that's why it's purely timing, from our perspective, Sami.
Sami Badri: Got it, thank you for that. And my other question has to do with your occupancy increase, the 500 basis points year-on-year and the backlog coming in the way that it is. Is this being driven by one or two or a specific cohort or a customer type coming into the actual business or are these existing customers expanding footprint? Could you just give us some characteristics on both backlog and the occupancy increase?
Nelson Fonseca: So, Sami, look, honestly, we're seeing strong demand across the entire footprint, right, both new logos and existing customers. So, I can't really point to a specific vertical or customer type, which we think is healthy for the business. That's what we want to see. And I think the second-half of the question was more about occupancy. Could you repeat the second question, Sami, if you don't mind?
Sami Badri: Yes. So, if I just think about your occupancy increase, right, was there one customer that drove, say, 200 to 300 basis points of that 500-plus or is it very broad-based across the portfolio, you're just seeing several contracts get signed, deployed, occupancy increases across the whole portfolio, just trying to understand customer characteristics within your portfolio?
Nelson Fonseca: Yes, so we're seeing we had multiple customers, that's what's driving bookings which ultimately drives revenue. In every quarter, we have some big deals that we signed or some big deals this quarter as well, but I wouldn't point to any particular customer or particular market that's driving occupancy. And what we are seeing in that occupancy trajectory over the last few quarters. In terms of backlog, I won't talk a lot about -- we don't give any number for backlog. But obviously when you have the strongest net bookings quarter that you had in the company's history here in second quarter, all of that becomes backlog it hits a point that over the second half of the year, which also points to why we have an unchanged revenue guidance, right? We feel really good with where we are from a demand perspective.
Sami Badri: Got it. Thank you.
Operator: Thank you. The next question today comes from the line of Frank Louthan from Raymond James. Please go ahead. Your line is now open.
Frank Louthan: Great, thank you. Just to break down the guide a little bit more. It looks like the midpoint of EBITDA is down about $7 million. Just maybe half of that is FX. Can you give us sort of the breakdown between the Northern California datacenter what the extra costs are riding on that? And then possibly how much the power cost there? And how much of power cost -- you said you are re-recovering it in '23, can you give us a range that you think you can expect to recover in dollars in '23 that will be additive there as well, that will be great? Thank you.
Carlos Sagasta: Yes, Frank. So, let me start with that last piece because I think the challenge that we are facing is that if you look at our June year-to-date performance, we're on track on all the metrics, Frank. The challenge that we are seeing is that when we look at our vendors and we look at our advisors and we look at the forward curve for energy, what we are seeing is a curve that continues to maturely move forward or up, sorry. And that creates this timing gap that we talked before. Now the problem today is that we are speculating with a curve that literally changes almost every day. I would tell that when we talked to some of our advisors on this [frontier] [Ph], they tell us two years ago, we would revise the curve quarterly. Six months ago, we would revise the curve weekly. Today, they revise the cure daily. And so, it's hard to give you a number of what that 90% recovery means because it's going to be predicated on what the actual cost that we end up to incur, right? So, the part that we are comfortable with is that whatever the cost is, we are going to recover 90% on a run rate basis. And the only challenge is whatever happens in the fourth quarter, that's going to be a gap to the 2022 financial segments. We will recover them in Q2, but that's quite hard to put a number on that part of the question. And then on the gap to guidance, what I would say is roughly speaking I would think about this as a third for FX, a third for the Northern California delays, and about a third for the energy delays or timing gap of Q4 if the curve performs as we have forecasted. But if the curve is different, that balance will be different as well.
Frank Louthan: All right, great. And what are you seeing -- what are you doing as far as any price increases on your base pricing and any changes on escalators for new contracts? And then on the other side of that for the leasing cost that you have, any concern that you would see an increase in your underlying operating cost as maybe some of your landlords maybe raising pricing, or what's sort of the next step for that you may face increases on that? Thanks.
Nelson Fonseca: So, Frank, let me cover the pricing. And I'll pass it on to Carlos for the leasing. From a pricing perspective, look, the actually pass through of power cost is effectively a price increase for the customers, so that's happening. In terms of pricing in general, we have increased our prices in multiple markets. We've always been consistent that we priced at the market level. Obviously as cost increased, market adopted, so we have increased our prices across multiple markets in response to that. Carlos, do you want to cover the lease?
Carlos Sagasta: Yes, and remember that our leases are long-term leases. We're always talking about 15-year lease with 5-year options. In which, pricing is pretty much locked in. And so, no, we're not seeing and we don't fear every pricing movement [of our landowners] [Ph].
Frank Louthan: All right, great, thank you.
Operator: Thank you. [Operator Instructions] The next question today comes from the line of James Breen from William Blair. Please go ahead. Your line is now open.
James Breen: Great, thanks for taking the question. Can you talk a little bit about the Northern California project, any update on your timing there in terms of when it can start to open next year, and how much it delays revenue and what the initial sort of revenue projections are given the size of the facility? Thanks.
Nelson Fonseca: Let me address the timing, and Carlos can address there on the projections. The timings, we still expect to complete the data center this year, which it's just going to be delayed into the second-half of the year, so we won't see the full impact of that data center coming online until 2023, but we still expect to complete the data center this year.
Carlos Sagasta: And from a projections perspective, we do not provide disclosure on a facility-by-facility basis. But I sure like giving you a hint of what the delay might be on a quarterly basis, it's not a fully quarter but, roughly speaking, about a third of the changing guidance from an EBITDA perspective is going to be related to that delay. I think you can extrapolate from that.
James Breen: Great, thanks. And then just one more, just in terms of supply chain issues around some of your customers, has the uptake, as customers first get into a facility and then grow over time, has that slowed at all as a result of supply chain issues or you're seeing generally historical uptakes? Thanks.
Nelson Fonseca: Yes, what I would say is, look, the supply chain constraints are real for us, again, we litigate most of that, because we don't have a lot of new construction, I would say there's slight delays in being able to implement contracts. Not significant, nothing that we can't manage through, and we've been able to manage through that for the first-half of the year. It's not slowing down demand, I want to make that very clear, the customers are growing, both new logs and existing customers. But our ability to translate that into revenue, there is a slower bit of implementation that you see because of supply chain, but nothing that's not manageable at this point.
Carlos Sagasta: And if I may add, we're seeing a positive impact of that supply chain challenge for customers. And the fact that it's starting to affect their implementation timing is that we're getting even more interest in using Bare Metal as a steppingstone for those style deployments.
Nelson Fonseca: Good point.
James Breen: Great, thanks.
Operator: Thank you. There are no further questions registered at this moment, so I'd like to pass the conference back over to Nelson Fonseca for closing remarks.
Nelson Fonseca: All right. Thank you very much for joining us for the call this quarter. We look forward to updating you guys on the next quarter as well. Thank you.
Operator: Thank you all for your participation. This concludes today's conference call. You may now disconnect your line.